Operator: Good morning and good afternoon, ladies and gentlemen, and welcome to the OceanaGold 2019 Third Quarter Results Webcast and Conference Call. At this time all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Thursday, October 31st at 5:00 PM Eastern Time. I would now like to turn the conference over to Mick Wilkes. Please go ahead.
Mick Wilkes: Good morning and good evening, everybody. Welcome to the OceanaGold third quarter 2019 results webcast and conference call. It's great to be with you today and we'll be discussing our operational and financial performance for the quarter. I'm joined today by Michael Holmes, Chief Operating Officer, who will discuss the performance in operations; and Scott McQueen, our Chief Financial Officer; who will also discuss our financial results. I'm also pleased to have Jim Whittaker, the Executive General Manager of the Haile operation on the call and he'll be available to answer questions around that operation. Just moving to Slide 2, the cautionary statement to -- before read out -- before we proceed. Note that the references in this presentation adhere to International Financial Reporting Standards and all financial figures are denominated in US dollars, unless stated otherwise. Also note that the presentation contains forward-looking statements, which, by their very nature, are subject to some degree of uncertainty. There can be no assurances that our forward-looking statements will prove to be accurate, as future results and events could differ materially. Please refer to the disclaimer on forward-looking statements in our presentation. So Slide number 3. Results overview, our third quarter results were not without their challenges, particularly at the Didipio, where we continue to navigate the renewal process for our agreement with the Philippine Government. We also continue to deal with the -- what we believe is the unlawful order of the provincial governor, which has resulted in temporarily suspended of underground operations and processing, due to a lack of supplies needed for our sustained operations. On a consolidated basis, our operations produced approximately 362,000 ounces of gold and 10,000 tonnes of copper year-to-date. And in the third quarter, we producer over 107,000 ounces of gold and 2,300 tonnes of copper, which was lower than the prior quarter, due to the processing of stockpile for Didipio. The all-in costs were $1,087 per ounce on sales of approximately 341,000 ounces of gold and 6,900 tonnes of copper year-to-date. The higher quarter-on-quarter all-in sustaining costs was due to a decrease from the Didipio. In the third quarter, Haile delivered significant operational improvements for the third consecutive quarter. Third quarter all-in sustaining costs at the site decreased 20% quarter-on-quarter and nearly 40% since the first quarter of the year. We continue to improve mine productivity, while continuing to up skill the workforce and are experiencing more stable turnover rates. We're making strong progress moving materials and so material movement is up 36% from the previous quarter. We're also continuing to achieve higher throughput rates in the process plant much earlier than expected. The financial performance this quarter reflects [indiscernible] from the Didipio in third quarter. Revenue and EBITDA both decreased as a result of slightly higher average realized gold price through the year. These results translated to an adjusted net profit of negative $5 million and fully diluted adjusted earnings per share of negative $0.01. With multiple operations in the portfolio, we continued to generate good cash flow year-to-date, resulting in a fully diluted cash flow per share before working capital of $0.26. Our significant pipeline of organic growth opportunities continued to advance well. At Martha Underground, we completed nearly 900 metres of mine development in the third quarter, while achieving exceptional drill results. Our WKP prospect continues to yield promising results and over the next 12 months, we will complete an all-encompassing study from Waihi, the Waihi District, that will help to further quantify its potential. Permitting the Horseshoe Underground at Haile continues to progress well and we expect to receive the permit early next year. We also expect to begin construction in the third quarter of next year. On the ESG front, we're very proud of our ESG performance, which continues to be recognized across the operations. At Didipio, Oliver Donato was awarded the top pollution control officer in the Philippines, highlighting the excellent environmental management being conducted at the mine. Our safety performance continues to improve with reduced frequency of injuries, led by Macraes and Haile, with safety leadership and employee engagement has resulted in significant improvements. Now, let me move onto the Didipio FTAA, Slide four. I just wanted to take the opportunity to discuss what is happening on the ground in the Philippines. Didipio has long been recognized as the template for responsible mining, as you know, in the Philippines and we are honored to be a significant contributor to its host community in the provinces of Nueva Vizcaya and Quirino. It is a world-class operation, one we're very proud of, and it's an operation that's run by world-class Filipino workforce. We directly employ over 1,500 workers comprised of 97% Philippine nationals, 59% of whom are from the local communities, and including over 300 women, many of whom are in leadership roles. Our FTAA was the first one ever signed in the Philippines in 1994. It's going through the renewal process. So it's the first FTAA to go through a renewal. We don't yet have a timeline as to when the renewal process will be concluded, but we continue to have a strong engagement with the national government and regulator. We recognize the impact of the uncertainty regarding the renewal has on our operating and financial results, the shareholders of our company, and importantly, the locals at Didipio that depend on the mine's ongoing operations to support themselves and their families. We are working very hard and collaboratively with our government partners to renew the FTAA as soon as possible. While the renewal process continues, the national government, which is the authority over mining in the country, has permitted us to continue operations at Didipio. Unfortunately, some parties have seen this as an opportunity to challenge that directive, spreading this information and disrupting the operations at the mine. As previously shared, in July this year, the governor of Nueva Vizcaya issued an order directing local government units within his province to restrain any operations of the company, and thus the transport of consumables and saleable products in and out of the mine was creased. As a result, during the third quarter, underground mining operations were suspended due to the depletion of consumable mining supplies. Processing of ore from stockpiles continued and subsequent to the third quarter end, we ceased -- the processing ceased after completion of maintenance shutdown for the process plant, which was planned. At this time, mining and milling outside is temporarily suspended and we have a critical activity to continue to ensure the safety of our employees and protection of the environment. With that, I'll pass over to Michael to discuss the performance of our operations.
Michael Holmes: Thank you, Mick and hello, everyone. Moving onto Slide 5 and before I begin reviewing our operational results, I would like to introduce Haile's new Executive General Manager, Jim Whittaker, who is joining us on the call today. Jim brings more than 30-years of mining experience managing operations for Barrick and others in North and South America. Jim will be available for questions at the end of the webcast tonight. Turning to Slide 6. Overall, the company continues to focus on enhancing our safety cultures through leadership and employee engagement. Didipio leads within our portfolio with a total injury frequency rate of 1.3 million hours worked, an improvement that Haile and Macraes have resulted in the company's total recordable injury frequency rate trending lower over the last 12 months, running at a total injury frequency rate of 3.7 per million hours worked, as compared to 4.8 that was achieved in 2018. Moving onto Slide 7 and the operational performance at Haile. As Mick mentioned, we had a significant improvement in the operational performance in the third quarter and this trend has continued into the fourth quarter. Haile produced about 37,000 ounces of gold, which is relatively in line with the previous quarter and slightly lower than we had originally expected due to a delay in accessing a higher-grade section at the bottom of the Snake Pit. Unit cash costs were $898 per ounce in the third quarter, which compares to over $1,100 per ounce in the first quarter of the year. And while higher quarter-over-quarter, this still represents nearly a 20% improvement in unit cash costs over 2018. The quarter-on-quarter increase in cash costs related to the volume of material moved. Mining costs of $3.42 were 10% lower quarter-on-quarter with better utilization of our existing fleet. Unit costs decreased with productivity improvements, as the first of our new equipment was put into action. The number of new tracks operating in the fourth quarter increased substantially as delivery and the build process progress more efficiently. Total mining unit movements were, up 36% quarter-on-quarter, despite only one of the new 730E Komatsu haul trucks being operable in quarter three. During the quarter, wet ground and combined mining conditions deferred some of the higher-grade material from the bottom of the Snake Pit from the third quarter to the fourth quarter. We expect these improvements to become less of a challenge as the mine plan progresses, with the completion of Snake Pit Phase 1 and stanchion of the other pits. Third quarter all-in sustaining costs was $1,106 per ounce, representing a 20% decrease quarter-on-quarter, making a trend of continued improvement throughout the year. In terms of processing, we saw unit processing costs decrease 13% quarter-on-quarter and we continuously operated the process plant above the 3.5 million tonne per ounce. We saw and continue to see the benefits of the de-bottlenecking processes at the process plant and the tie-in of the new re-grinding stoker. These efforts accumulated in record daily throughput rates, which have far exceeded our expectations and earlier than plan. And new additional pre-aeration thickener is the final piece of the process plant de-bottlenecking will accommodate the higher throughput target of 4.4 million tonnes per ounce, while supporting the ground size optimization. Construction, completion, and commissioning of this [indiscernible] is expected in the fourth quarter and we expect recoveries in the fourth quarter to average in the low 80s, but over the long-term, we are targeting recoveries in the mid-80s. Moving onto Slide 8, and the specific details on how the operations performed quarter-on-quarter. As you can see, Haile delivered its third consecutive quarter of operational improvements. The Haile mine plans for 2019 was always back end weighted and we continue to expect moderately higher production and similar costs in the fourth quarter. We also anticipate continued operational improvement, including increased mine per tonne volume, and with the large mining fleet being brought online. We can also expect a similar production profile for 2020 and Haile was one-third of the production in the first half of the year and the remaining two-thirds in the second half of the year. Costs will also be skewed to reflect this production profile. Moving onto Slide 9 and Didipio in the Philippines. As Mick has already stated, we've temporarily suspended underground mining operations in mid-June, due to the depletion of mine consumables. Other underground activities, including pumping, has continued for safety and environmental reasons. Processing of the low-grade stockpile ore continued through the third quarter and briefly into October, less a 24-day shutdown in September for planned maintenance. Didipio was unable to transport [indiscernible] and concentrate from the site for the duration of the third quarter due to the road blockages. Production from the third quarter remain [indiscernible] and assumed copper prices of $2.60 per pound. The estimating all-in sustaining costs on an as produced basis was approximately $520 per ounce. The operation remains in a state of readiness for restarting. The health and safety of our employees continues to be the top priority. When we have the FTAA renewed or if we receive a favorable outcome from the Philippine Court of Appeals, we expect to receive operations within two weeks. Looking ahead, Didipio's fourth quarter outlook and beyond is now largely dependent on completion of the FTAA renewal process and we continue to proactively engage with our regulatory stakeholders. Moving onto Waihi on Slide 10. Waihi's third quarter production of approximately 16,000 ounces was to plan with lower mining -- with mines of lower grade designs of Correnso, which are expected to be depleted in the first quarter of 2020. With the Martha Underground under development, we expect to be back into production at Waihi in 2021 with an upgraded process plant. Mark Cadzow and his projects team are currently working on the study that will provide that Mark with more details of the Waihi District Plan, including -- finding production costs and mining and processing discourse. Exploration is ongoing in both underground drill dries and from the Surface at Waihi. During the third quarter, we reported results from successful extensional drilling at Martha, including the exploration target to 8 million to 10 million tonnes at grades of between 4 and 6 grams per tonne. This exploration target is in addition to the current 331,000 ounces of indicated gold resulted in 667,000 ounces of inferred gold resources. At our WKP prospect, located approximately 10 kilometers to the north of Waihi, we continue to explore exploration drilling from two rigs, which are yielding significant high-grade results. Moving to Macraes and Slide 11. As expected, production for Macraes was similar quarter-on-quarter, as high grades from Coronation North were offset by a lower grade harder oil feed from Coronation Pit with slightly lower recoveries. In the quarter, total mining movements decreased 10%, in line with the mining schedule, as equipment was utilized in multiple areas with the commencement of mining from the Gaytan Pit. The company is currently pursuing opportunities to increase mine life at Macraes, including investment in exploration across multiple targets within the Macraes Goldfield. Work continues on the second study for Golden Point, which is expected to replace the underground mine and extend the operations' mine life. Looking ahead to the rest of the year at Macraes, we expect production in the fourth quarter to be higher on better grade and lower costs due to less stripping as oil is sourced from Coronation or -- Coronation and Gaytan Pit. I will now turn the presentation over to Scott McQueen to discuss our financial performance. Thank you.
Scott McQueen: Thank you, Michael. Hello, everyone. The next few slides cover the key aspects of our third quarter and year-to-date financial performance. Turning to Slide 13. This provides a summary of our financial results for the quarter and the year-to-date. The quarter-on-quarter reductions in both revenue and EBITDA primarily reflect the fact that Q3 included no gold or copper sales from Didipio. This reduction in sales volume was only partially offset by a 6% increase in the average gold price received in the third quarter. Third quarter production at Didipio, plus some of the Q2 production on hand at the end of last quarter remains in inventory and is available for immediate sale upon the restart of normal operations. However, though, where production has ceased, cost associated with maintaining Didipio in a state of operational readiness are immediately expensed to the profit and loss account. In the third quarter, Didipio's non-production costs are included in G&A and amounted to $7.6 million. This related mainly to maintaining the underground in a safe and environmentally compliant state post the suspension of mining, plus costs associated with the 24-day maintenance shut of the plant, as mentioned by Michael. As a guide, we expect a similar level of non-production costs at Didipio in the fourth quarter, assuming the operations remain in a state of operational readiness and do not restart any earlier. The reported impact for the third quarter, as Mick mentioned at the outset, was a loss of $22 million, which included unrealized losses of $17 million on New Zealand dollar gold hedges, which cover the balance of 2019 and also 2020. As shown in the table, the adjusted net profit, which excludes these unrealized non-cash hedge losses was a loss of $5 million or negative $0.01 per share fully diluted. Moving down to the cash flow summary at the bottom of the slide. Operating cash flow for the quarter decreased $33 million -- to $33 million, sorry, or $0.05 per share with a minimal change in net working capital across the quarter. Again, the primary driver for the reduction in the third quarter was the reduced sales at Didipio combined with the non-production costs incurred. Third quarter investing cash flow decreased 33% from the previous quarter with lower capital costs in most areas of the business, particularly pre-stripping at both Macraes and Haile, as was flagged in the previous quarter, the [indiscernible] deferral of capital at Didipio, and in all other areas of the business where we've targeted reductions and deferrals. Moving onto Slide 14, which includes some additional capital expenditure information. As outlined at the top of the table and just noted, total capital expenditure decreased 33% to approximately $55 million in the third quarter. For the first line of the table, there's been a reduction in general operating capital, which was lower across all operations, as we deferred all capital possible at Didipio, but also targeted capital reductions and deferrals across the rest of our operations. Growth capital was also lower this quarter, again, partially due to the deferral of growth capital at Didipio. The main areas of investment during the quarter were the continued Haile expansion, which included the construction of water retention ponds and additional PAG storage capacity. However, in total terms, growth capital at Haile was lower quarter-on-quarter with the major capital investment in the regrind circuit upgrade, already behind us. These reductions were partially offset by an increase in growth capital at Waihi, but as Mick mentioned earlier, Martha Underground development progress in the third quarter. Prestrip at both Haile and Macraes was reduced materially in the third quarter, as forecast. We did see an increase in exploration spend in the third quarter related to drilling the high value opportunities around Waihi. We are trimming broader exploration spend in the fourth quarter and expect to come in lower in the full year, as illustrated in the revised guidance ranges noted. Moving to the updated guidance, we have increased our 2019 pre-stripping capitalized mine forecast range. This reflects higher mining costs and contract support to accelerate waste movement at Haile, combined with an expectation of commencing pre-stripping at Ledbetter in Q4. At the same time, we've also made reductions across other capital areas, consistent with changes in the operating assumptions at Didipio and to other capital plans expected across the fourth quarter. Naturally, we continue to invest strongly in exploration as a value creator, but we're primarily focused on efforts around Waihi given the positive progress at both Martha and WKP drilling. In total, we're now forecasting lower full-year CapEx. Moving onto Slide 15, which provides a snapshot of our balance sheet. As of September 30, our cash balance was $56 million, with immediately available liquidity of $106 million. Our net debt at September 30 was $140 million, an increase quarter-on-quarter given the lower operating cash flow and the progressive increase in capital equipment leases related to the Haile mining fleet upgrades. Consistent with previously announced plans, we expect these capital leases to increase progressively as the rest of the new fleet arrives on site, engaging the service. We're comfortable with our ability to manage the balance sheet given our low level of gearing and the longstanding support and industry knowledge within our banking group, as we continue to balance the short-term challenges presented at Didipio, with continuing to run the rest of our assets successfully, and advancing our exciting organic growth opportunities. I'll now hand back to Mick to wrap up the presentation.
Mick Wilkes: Thanks, Scott. Thanks, Michael. Let me just say a few words to close it out. I'll just finish up with two more slides. Moving to Slide 17. We know the nature and future of Didipio is uncertain and as I've mentioned, we'll continue to work collaboratively with the national government to advance the FTAA renewal. And in the meantime, our other three operations are on track to deliver our revised guidance. We expect to do this through stronger production from Macraes and Haile, and steady production at Waihi. Notwithstanding the current political challenges in the Philippines, we're currently going through, I'm pleased with the progress we've made at Haile and the commitment to advancing our substantial organic growth pipeline so far this year. And just lastly, turning to the Slide 18, the growth slide, the final slide for the presentation, I'd like to review our growth pipeline. These projects are expected to deliver significant value to shareholders and further increase our production from top tier jurisdictions. The first is the Haile expansion through the high-grade Horseshoe deposit, which we will start next year, as we said, in the third quarter. We're tracking well with that and also excited at the potential of making additional high grade discoveries through exploration drilling from underground. The growth in New Zealand is very exciting. The Martha Underground is advancing well, but only one leg of the stool of growth for us is in the Waihi District. This is only one leg of the stool. WKP, which also represents an exceptional opportunity to transform the operation into a flagship asset, delivering significant cash flow to shareholders and significant socioeconomic for New Zealand. Macraes has it's share of projects as well that are mainly geared to expanding and extending the mine life. Specifically, we expect these projects to add more than 200,000 ounces of gold production to our portfolio over the next five years, while delivering margin growth and significant extensions to mine life. So with that, that concludes the formal presentation segment of this webcast. I'll now take some questions over the phone and I'll turn the webcast over to the moderator to facilitate. Thank you.
Operator: Thank you. [Operator Instructions] Your first question is from Michael [ph] from Credit Suisse. Michael, please go ahead.
Unidentified Analyst: Yes, thanks very much. I've got a few. I'll start with Haile, if I might, please. First of all, when you revised group guidance, seemingly largely on Didipio, was there any adjustment to your expectation around Haile. When you -- I listened to your words about modest production growth for fourth quarter. Does that mean you achieved the bottom end of your guidance range for Haile or not?
Mick Wilkes: Yes, that's correct. We're expecting to achieve guidance at Haile set out in the start of the year. But with the update for the full-year that was largely because of Didipio. We didn't adjust anything else.
Unidentified Analyst: Okay, thank you. Secondly, with respect to Haile, recovery a little bit lower in the September quarter than the June quarter. Was that simply reflecting the lower grade treated, the reliance on low-grade stockpiles in the September month?
Mick Wilkes: Jim, could you answer that please?
Jim Whittaker: Sure, Mick. Hi, Michael. How's it going? Yes, great question. As you know, we've been working on several projects through the mill facility to increase recovery. Currently, we're running at levels around 82% to 84%. The projects are going well. This fourth quarter, the last project to be developed is a pre-aeration thickener, which will help us to control the load into the new fine grinding circuit and we're expecting those improvement and recoveries to continue up into the next year.
Unidentified Analyst: Okay, thank you. And well I've got you, Jim, the Haile has been improving flexibility between the new fleet, the plant throughput and recovery, greater sort of operational flexibility as you get more pits developed. When does Haile really hit its straps? When are you at a point on the schedule where everything is tuned and can really deliver what you expect from it?
Jim Whittaker: Also a very good question. Of course, what we're doing here, the way this process is designed, the new facilities are actually very hungry right now. They're running at a very high rate and it's the mine that's having to catch up with the mill. We currently have five of the E730s and one of the big shovels built and in the dirt. And so our program will continue to bring the second large PC 4000 and the remaining shovels up to 15 by about May of next year. So I would suggest somewhere around second quarter, we're really going to be hitting it with respect to feed going to the mill.
Unidentified Analyst: Okay, thank you very much. Moving onto Didipio, if the blockade continues, is there anything that can sort of challenge you? I'm thinking of critical spares like pumps and so on for underground, broken oil stocks, can they freeze in stopes? Is there any sort of time critical stuff there that could trip you up?
Michael Holmes: Yes, it's Michael here. The things we sort of understood with the barricades. We basically emptied out all of our underground stock. So basically, everything is sitting wide and ready for it to start up. And we've -- as the consumables ran out, we sort of -- we took that opportunity to do that. So most of our -- all the low-grade stocks are in stockpiles as you know. We have enough spares with regard to continuing the de-watering process. And the reason for staying in a position of business readiness with the workforce means that we can really start within two weeks of getting up to full production within two weeks of getting either the Court of Appeals or the FTAA renewal. So that's the decision we've made. So, everything gets checked daily as part of the routine that we have to ensure that the safety and the environmental compliance remains. We still have our orders by the NGB regulator. So we're still sort of on that track. So that's the state of readiness for Didipio at this point in time.
Unidentified Analyst: All right, thanks. One for Scott with respect to the Didipio concentrate stock. I'm assuming that figure in inventory in the balance sheet, that's cost. If I do some simple math surrounding average gold price and copper price, looks like in terms of sort of net realized book value it's actually about -- a period on period change would be about $35 million?
Scott McQueen: It's higher than that, Michael. It includes -- there's also dore [ph] in addition to the concentrate answer, but yes, it's a substantial amount but we're not trying to draw too much attention to that.
UnidentifiedAnalyst: Yes. Okay, thank you. And then finally, on the access to Martha, when are you in a position to see first ore from Martha? And then what's the ramp-up period to when we can see an improvement in the production profile with respect to Martha contributing?
Michael Holmes: Thanks, Michael. So as I mentioned sort of in quarter one has been [indiscernible] the Correnso sort of oil body will be completed and we're just going through the budgeting process as the mines -- they sort of lock down the different mine plans. So we know it's going to be 2021, but we haven't locked down that timeframe at this point in time.
Unidentified Analyst: Okay. Thanks.
Michael Holmes: We're going to be coming out with a study early next year.
Unidentified Analyst: Okay. Thank you.
Operator: Thank you. Your next question is from Daniel Morgan from UBS. Daniel, please go ahead.
Daniel Morgan: Hi, Tim. Just another question regarding Didipio. I know you said a two week ramp up once -- or sorry, you can begin production two weeks once you've received approvals to do so. Just wondering after that, how much further, how much longer is it to ramp up to full production, to go from beginning production to full run rate?
Michael Holmes: It will take probably another two weeks to get back up to full production. So we're looking at about a month to take it up. So the way it was left was the material that though -- was taken out. So we've got stopes that are open, which just require further firing and put onto the deck, and then just getting the drilling fleet back up and running, and the production, and the development fleet back up to production. But we have stopes ready to be produced right away. So getting up to full production, I'm anticipating about a month.
Daniel Morgan: Okay, thank you. And then the -- just moving to the Martha Underground and maybe a follow-up on Michael Slifirski's questions. With the end of Correnso, which is in Q1 next year, is there any gap or is there a production shortfall or drop from Correnso? Or do you go straight into Martha and there's steady production from Waihi after Correnso finishes I guess is what I'm trying to get at?
Mick Wilkes: Yes, thanks for that question, Dan. As Michael said, we finished production from Correnso in the first quarter and there won't be any production from Waihi for the remainder of the year. And we're just finalizing our plans for when we would start up production in 2021 but it's likely to be early 2021.
Daniel Morgan: Okay. Thank you very much.
Operator: Thank you. Your next question is from Chris Thompson from PI Financial. Chris, please go ahead.
Chris Thompson: Just a couple of quick questions. We'll start off with Haile here. I know you spoke a little bit about meeting I guess your production guidance. What about the cost guidance there? Were there any adjustments made in the cost guidance? Obviously, everything is tracking and in a good direction there, but it seems to be a little bit of a stretch to meet the $850 to $900 an ounce AISC cost guidance?
Michael Holmes: Scott, could you speak to that please?
Scott McQueen: Sure, Mick. We expect to come in, as Michael and Mick said, towards the bottom of the production guidance. But no, we won't be hitting the individual guidance on Haile. It will be similar levels that we've seen in the current quarter. We didn't provide individual side-by-side updates given the uncertainty around Didipio and how that flows into the equation.
Chris Thompson: Great, thanks. And then just quickly, I mean obviously, the state of gold I think is to ramp up firstly to, what is it, 3.5 million tonne a year there. Got any sense when you're going to be able to achieve that? Obviously, you're beginning to achieve that right now. But what can we expect by way of steady state?
Mick Wilkes: Jim, I'll pass to you.
Jim Whittaker: Cheers, Mick. Yes, thanks for the question. We're already at a steady state. We're hitting that level now. Like I mentioned before, when Mike was asking me about the balance, it's also an issue of getting the mine to be able to adequately feed the plant on a regular basis. But it's getting better and better all the time. And what we're looking at right now into the future is trying to see how we can blend your basic mine feed with -- and maybe taking in some lower grade stocks at an incremental cost and see what we can do to fully maximize the tonnage throughput on that plant. So that's where our heads are at right now looking into the future.
Chris Thompson: Great thanks for that. And finally, just over to Macraes quickly, I guess, or more specifically, Golden Point. Can you just remind us again where are we with the economic studies on that as far as timing as well?
Mick Wilkes: So I think, yes, the studies for Golden Point will be done next year, probably finish around the second half of next year. But we're starting obviously doing our budgeting process and getting, like, the mine plans together with some assumptions being made around that. The 43 one-on-ones will be updated second half of next year.
Chris Thompson: Great. Okay, guys. Thanks a lot.
Operator: Thank you. [Operator Instructions] Your next question is from David Taylor from Taylor Asset Management. David, please go ahead.
David Taylor: Hi there, Mick. To say the stock price underperformance is disappointing I think would be an understatement. One of the ways that us shareholders had some sort of insurance and protection from issues like this at Didipio in the Philippines was that you'd always espouses that the Philippines was a -- it was a land of laws, very much having a Constitutionally like the US. And yet, here we are. At the provincial level, we lost a court ruling, even though you had a letter from the Minister of Mines saying you had a permit to operate, even though your FTAA had expired. Now, here we are waiting for the field ruling where we thought the ruling would come a lot sooner than it has. So I'm just wondering if there's something else going on here? So my question is this. After the Gina Lopez debacle, I'm just wondering what precautions the company took to protect itself from things like this? I'm wondering if the company has the proper people on the ground or representation at the local board level. And then my question number two, is you didn't talk about any contingency plans. If we're here six months down the road and you still don't have an FTAA or you still haven't had an appeal ruling from the federal courts, what is the game plan?
Mick Wilkes: Look, we have, since the Gina Lopez incident, we have improved our capability, our capacity in dealing with these issues and we have had a team working on this for over 18 months. It is disappointing that the courts haven't been efficient, but it is still going through the motions with the Court of Appeals. It wasn't surprising that the local court, the provincial court did not give us the injunction. Although, having said that, we were hopeful, but it isn't surprising given the way those provincial courts work. The Court of Appeals is a beast and we're still going through that process. I think it's important to remember that this is the first time that an FTAA has been renewed. We are very close to getting it renewed and we are confident that it will be. In terms of contingency plans, we're obviously -- the company can operate with the other three operations. We can fund our organic growth opportunities. We have a very strong debt banking syndicate and this is part of the journey. And when Didipio comes back online, then we'll be back to business as usual. I sympathize, I empathize with you. It hurts me more than it hurts you, David, I can assure you, with respect to your frustration caused by what's going on with the government and the court system in the Philippines. But we do have good people on the ground. We do have good connections and we'll always uphold our values and operate responsibly in the Philippines as we do in every other country around the world.
Operator: Thank you. Your next question is from Geordie Mark with Haywood Securities. Please go ahead.
Geordie Mark: Good morning. Just maybe a quick one centered obviously on Didipio. Given the plant can operate, I guess, on a short-term basis well above the main type, and given the ramp-up decline, how long into, say, next year, would you sort of delay start or delay receipt of some approval process to still maintain your maximum sort of production or your ceiling sort of permanent production rate?
Mick Wilkes: Geordie, we can't hear you. You're very, very faint. Can you repeat the question please?
Geordie Mark: Yes, I'll try and get a bit better. Yes, just wondering given that you can produce at a faster rate on a short-term basis through the plant at Didipio than the 3.5 million tonne per annum capacity, just wondering what flexibility you have next year for a delayed start into next year to still get your 3.5 million tonnes throughput. What sort of flexibility do you have there?
Mick Wilkes: Generally, it's one-month flexibility there. We know the plant can do probably 4 million ton per annum. So it's about a month, Geordie.
Geordie Mark: Okay, great. I'll leave it there, plenty of questions [indiscernible]. Thanks.
Operator: Thank you. Your next question is from John Tumazos, John Tumazos Very Independent Research. Please go ahead.
John Tumazos: Thank you for taking my question and for your service of the company. I hate to ask this question again or a different way, but in the region of Didipio in the Philippines, is it a separatist movement or a region that the central government doesn't control? And are there nickel or other mining companies that haven't respected the environment as well as Oceana? I'm trying to understand frictions.
Mick Wilkes: Thanks for that question. It's a provincial issue. We have the support of the national government and this is an issue just with the Province of Nueva Vizcaya. We do have two provinces that the mine overlaps and the Quirino province as well. We've had no problem with the Governor of Quirino and his [indiscernible] Council. The issue is only with the Nueva Vizcaya government. And there is another gold mine in Nueva Vizcaya, which continues to operate unaffected. So there are no other mines in the province.
John Tumazos: Thank you.
Operator: Thank you. There are no more questions from the phone line.
Mick Wilkes: We'll pass over to Sam now. I think there might be some questions online. Sam?
Sam Pazuki: Yes, Mick. There are no questions on the Q&A board here. So over to you, Mick, to conclude.
Mick Wilkes: That concludes our webcast and our conference call. There will be a replay available on our website later today. On behalf of the team, Michael, Scott, Jim, and myself, thank you for joining. Bye for now.
Operator: Ladies and gentlemen, this concludes your conference call today. We thank you for participating and ask that you please disconnect your lines.